Operator: Would like to start the meeting from this point onwards. Mr. Karamodo [ph], please.
Unidentified Company Representative: I would like to start the first quarter conference call for fiscal year 2014 for Astellas Pharmaceuticals. Thank you very much for participating despite your busy schedule. I will be serving as MC on PR division. Name is Karamodo [ph]. I would like to introduce the participants from our Company, Senior Corporate Executive, CFO, Mr. Yasumasa Masuda, Masuda. Global Head, Global Project Management, Mr. Yasushi Miyazawa. First, Mr. Masuda will make a presentation about the outline of different financial results and then go into Q&A. We're planning to end this meeting by 3.50 PM. This material or presentation via preventatives for the Company and answer systemic by representatives for the Company into Q&A sessions includes forward-looking statements based on assumptions and believes in light of the information currently available to management and subject to significant risk and uncertainties. Actual financial results may differ materially depending on a number of factors. They contain information of Pharmaceuticals including compounds under development, but this information is not intended to make any representations or advertisements regarding the efficacy or effectiveness of these preparations and approved uses in manufacturing or providing medical advice of any kind. All sessions including Q&A will be held in Japanese and for some attendants it will be translated into English by interpreters. Accuracy on interpretation cannot be guaranteed. Let's go into the presentation. Mr. Masuda, please.
Yasumasa Masuda: Hello, thank you very much for participating in the conference call for fiscal year 2014 first quarter financial report. Taking about 15 minutes, I will like to give you an update of our financial results and our pipeline. First, the first page, these are the disclaimers as always. Then, please go to page 2. First, fiscal year 2014 first quarter core basis of financial outline. For the first quarter we have seen increase of sales for the core operating profit. Core profit of the term has increased as well. Sales was ¥295.2 billion year-over-year increase of ¥25.7 billion, a 9.5% increase. In Japan due to the NHI drug price revisions and generic drugs, and due to the impacts of the demand supply fluctuations before and after the increase of the consumption tax, we saw a decrease in sales, but in the Americas, Europe and Asia/Oceania, because of the growth of the new products and the main products, we saw an increase in sales. The increase of sales and due to the decrease of cost of goods, the gross profit has increase. On top of that SG&A has been optimally allocated. Due to this, the core operating profit reached ¥66 billion year-over-year, an increase of ¥21.5 billion, a 48.2% of increase. The core profit of the term is ¥46.4 billion, year-over-year increase of ¥14.7 billion, 46.2% increase year-over-year. The core EPS was ¥20.90, year-over-year increase of ¥6.83, a 48.5% increase. The progress against the forecasted figures for sales is 24.8%, core operating profit and core profit for the term was 31.7% and 30.1% respectively. For the exchange rate for the first quarter is shown on the bottom of this slide. The average rate during the term, whether it be the dollar or the euro, the yen was weaker against both. This had a positive impact of ¥10 billion on sales and ¥8.3 billion for operating profit. Please turn to page 3. In this slide, I would like to explain the analysis or changes in sales. Against the previous year, we saw an increase of ¥25.7 billion. The breakdown of this is global product Vesicare, Mirabegron and XTANDI, which are the main growth drivers and in total, these increased by ¥22.3 billion. Prograf, Harnal and Funguard and other global products increased by ¥2.3 billion. Domestic pharmaceuticals, excluding global products due to the drug price revisions and the generic drugs and the demand supply fluctuation before and after the increase of the consumption tax, saw a decrease of ¥8.5 billion. In Europe and the Americas, the local products in total has increased by ¥9.6 billion. Turn to page 4. This is analysis of change in core operating profit. On top of the increase of sales, because the cost ratio has gone down, the gross profit has increase ¥30.8 billion year-over-year. The COGS ratio due to the change of the product mix has improved by 4.4 points year-over-year and reached 25.7%. For the SG&A, increase by ¥5.8 billion. On top of the impact of the ForEx, there was an expense of co-promotion for XTANDI and the launch of new products cost for new product launches. But if you exclude the ForEx impact and the co-promotion cost for XTANDI, basically it is the same level as the previous year. R&D spending has increased by ¥3.5 billion. Besides the impact of the FOREX, there has been increased cost due to the progress in development projects, but due to the efficient use of expenses, due the Research Reform, there are indeed expense ratio year-over-year has declined by 0.2% at 16.1%. As you can see due to the optimization of allocation of expenses, by clarifying the prioritization, the core operating profit as I said at the beginning, has increased 48.2% year-over-year. Please turn to page 5. This is the financial results for first quarter of 2014 on a full basis. For this first quarter we saw increase of sales, operating profit, for the profit before tax and profit for the quarter. In all the items we saw an increase of profit. The restructuring expenses and impairment losses which is excluded from core basis, it has been booked as other expenses at ¥18.1 billion out of which restructuring cost was ¥9.3 billion. This is based on the premium severance benefits paid under the early retirement incentive based on the number of applicants as of the end of June. This program is still proceeding. In the first quarter, we have booked ¥8.1 billion of impaired loss for intangible assets. Now last year we booked ¥18.2 billion of impaired loss and restructuring cost as well under other costs. Due to this, operating profit compared to the previous year increased by 91.5%. Please turn to page 6. This is the sales basis based on the local currency basis. In that base market the sales due to the reasons I've mentioned before was ¥109 billion, a 9.9% decrease. The Americas, Europe, Asia/Oceania in each of the regions, we saw a double digit growth. The Americas, Europe, XTANDI, Vesicare and Mirabegron has dip in the growth. Asia/Oceania progress are now Vesicare, this major items grew suddenly. Next is page 7. I'll like to talk about the major therapeutic area franchises and the performance of these items. First, this is about the urology OAB franchise. Mirabegron has grown considerably and with Vesicare and Mirabegron the global sales year-over-year has increased 20% reaching ¥43.7 billion. By region excluding Japan, each region saw a high growth of double digit. The decline in Japan is due to the impact of the temporary change of demand and supply due to the increase of income tax. We have launched Mirabegron in 27 countries. Going to page 8. This is oncology franchise. XTANDI has driven the growth with the four products in the oncology area; we have seen a ¥42.7 billion sales which has expanded considerably. XTANDI has grown robustly in the United States and Europe. In Japan, we have launched this product in May. The number of countries of XTANDI all over the world is right now 26 countries. And regarding Tarceva is growing steadily as well. Going to page 9. This is the transplantation franchise. Progress globally is maintaining sales in Japan due to the drug price revision and the impact of generics also declined, but in Asia/Oceania, we are maintaining a double digit growth. In the Americas, the price adjustment in the past year, these are not factors has impacted positive impact year-over-year. Please turn to page 10. This is a non-global products in terms of the main products. Micardis because of the impact of the drug price revisions; this has been offset by the growth of the compound drug (indiscernible). As the Micardis family overall, we have been able to sustain this at a slight decrease. For the growth products, there has been an impact of the change with the demand and supply situation fluctuation, demand and supply situation and decline but we have introduced Suglat in April in terms of the growth sales of the new products, we have been able to see a double growth. So we are going to maximize the sales and try to mitigate the impacts of the generics. Turning to page 11. In this slide this shows from April onwards, in each of the regions, approvals and launch situations of the products. As you can see in each of the regions, we have been continuously introducing new products. Please go to slide number 12. Astellas' growth from fiscal year 2010 has been growing sustainably. For the full year outlook with fiscal year 2014, we have announced this in May, this figures of sales ¥1.192 trillion, core operating profit ¥208 billion. We are not changing this outlook. On a global basis, XTANDI, Vesicare and Mirabegron the OAB drugs is going to grow. Looking to the results of the first quarter, the Japanese markets sales seems to be slightly weak. But if you think that if the impact of the fluctuation with demand supply situation because of (indiscernible) these growth products will grow. XTANDI and Suglat looks like to contribute. We think the sales of the Japanese market will not be that different from our outlook for the beginning of the year. In the Americas XTANDI is going to drive the growth and we are expecting robust growth. In sales overall we think it will be progressing very steadily. In terms of cost, it is in line with expectations but we will continue to optimize allocation of the expenses and take initiative to achieve our target. Starting from 13, let me give you an update on our R&D pipeline. Page 14 shows Astellas' pipeline figures by phase. Therapeutic areas are shown in different colors. New molecular entities or NMEs are marked with yellow circles. Using the following two slides we explained the recent changes in pipeline status since the results announcement in May. Page 15 is on filing. We submitted an NDA for five projects in the three months from May. We filed in Japan for the approval of seasonal influenza vaccine, ASP7374, an additional indication of certolizumab pegol or Cimzia; an additional indication of nateglinide or Starsis; and an additional indication for ramosetron or Irrbow, shown at the bottom of the table. We also filed in United States for antifungal agent Isavuconazole. Those are the five projects we filed. Page 16 shows the progress of the stage of the new phase I project. As for ASP015K, we entered in to Phase III in Japan for rheumatoid arthritis. The worldwide development and commercialization rights excluding Japan were licensed out to Janssen Biotech. Regarding fidaxomicin, we entered into phase III in Europe in a pediatric program. As for ASP5633, we entered into phase I for stress urinary incontinence. Page 17 shows the oncology pipeline. Right now, 13 projects are ongoing in clinical stages. We have several promising compounds including early stage development projects which like to continue and reach our oncology pipeline. Page 18 shows the status of Enzalutamide development progress. Development is making steady progress in breast cancer and also for new indications in prostate cancer. From here let me explain some projects we filed recently. Please turn to page 19. Regarding seasonal influenza vaccine ASP7374, we filed in Japan in May this year. This vaccine is produced by a cell-culture manufacturing method employing the baculovirus expression vector system, BEVS, a recombinant technology platform to manufacturing next generation bios. The vaccine can be produced in approximately six to eight weeks after obtaining the genetic information of the targeted influenza virus that enable supply in a short period of time. Even in case many people develop influenza, it's possible to manufacture quickly and safely in large quantities. We're hoping we can offer new options for the prophylaxis of seasonal influenza in the future. Page 20 is about Isavuconazole. We filed in the United States targeting invasive aspergillosis and invasive mucormycosis in July this year. Regarding these two indications, FDA granted orphan drug status and QIDP for qualified infectious disease product status. When approved seven year exclusivity in total will be given. Phase III is ongoing now for invasive candidiasis, which was also designated QIDP in July. Our Company is selling and marketing antifungal agents such as Mycamine in the United States. We're hoping to expand our product line up for the treatment of serious fungal infections. Page 21 is about the filing of additional indications for Cimzia and Irribow. At the moment, Cimzia administration in principal is submitted to rheumatoid arthritis patients with inadequate response to the existing therapies. In June we filed in Japan for an additional indication. We are unable the administration of Cimzia to patients without previous treatment with (indiscernible) when rapid progression of structural joint destruction is expected. As for Irribow, priority and safety were confirmed against placebo in phase III study in female patients. We filed for an additional indication in Japan in July. That's the end of my presentation on our pipeline stages. The progress of our late phase compounds is summarized on page 22. Many projects are now in late phase developments in Japan, U.S. and Europe. As shown with arrows, many projects have made progress since the beginning of the current fiscal year. We will continue to aim to make steady progress in early phase projects in addition to these late phase projects. Next page 23. This is my last slide. Let me explain you our basic policy on profit distribution and return in profit back to our shareholders. As you can see here, there is no change in our basic policy. We are planning to obtain an annual dividend of ¥29 per share for fiscal 2014, up ¥2 from the previous fiscal year in consideration of the stock split. On May 30, we canceled ¥25 million shares out of the treasury stock we filed. As was mentioned repeatedly, in order to resiliently respond to the changing environment and aim for sustainable growth, we will continue to actively work on three initiatives for strategic priorities, to maximize the value of new products, enhance innovation and pursue operational excellence. That's all for me. Thank you very much for your attention.
Unidentified Company Representative: Mr. Masuda thank you very much. This ends our presentation. Following this, we will like to receive questions from you.
Operator: (Operator Instructions). The operator is now calling in questions. Mr. Yamaguchi has a question. Mr. Yamaguchi, please.
Hidemaru Yamaguchi: Well first of all this is the question about the overall situation. In terms of (indiscernible) cost, so we don't have a full year specific figures. I think the impression is that it's a bit low. Is it correct to understand that way? So, is it going to be low for the full year or is it going to -- is the situation going to change? Can you explain about that?
Yasumasa Masuda: In terms of the forecast of the full year, I think your questions is about the progress. So, basically we consider this in line with our expectations. As I said in the presentation, there some costs have increased but on the other hand, we had been making more priorities in allocation of expenses and optimizing the usage. And basically things are proceeding in line with the budget.
Hidemaru Yamaguchi: Understood. In terms of the gross margin, gross profit margin. It seems that it's a bit high or is it not the case?
Yasumasa Masuda: It is true that has been a bit higher, because in terms of the COGS ratio has gone down and because of the change of the product mix, that's the major reasons. Of course there is gross impact of in terms of the elimination of unrealized gains, that's the factor. So, in the full this is basically in line with your budget. Of course based on -- I think things will average out. In terms of unrealized gains it will more or less be diluted. Yes, it's true. In terms of unrealized gains for the full year I think basically this 28% less than 28% I think basically big figures will gradually converge to that figure.
Hidemaru Yamaguchi: So I have two questions about XTANDI in the Japanese market. How about the full year forecast for Japan sales for XTANDI, because you have already tried to sell these products.
Yasumasa Masuda: Sorry, from the very beginning in terms of XTANDI, we have not disclosed the forecast and currently we do not have any figures that we can disclose at this point. Things are going smoothly.
Hidemaru Yamaguchi: Okay, understood. So in terms of the pre-chemo, well I think it's a change in the label [ph] I think. Is it going to be done in the near future?
Yasumasa Masuda: Well as you understand, so when we do the PVL test in terms of the data we included Japanese test facilities as well.
Hidemaru Yamaguchi: So these activities are proceeding in terms of when? Is this going to be realized?
Yasumasa Masuda: I will refrain from commenting on that.
Hidemaru Yamaguchi: Understood. Lastly, saw if you compare the core and the full, so ¥8.1 billion is impaired loss. So, can you tell us where this impaired loss came from?
Yasumasa Masuda: So this year's impaired loss, the intangible, has come from intangible assets, well, this is basically this is in process R&D spending, the impaired -- is impaired. In terms of the details of this, because of our relationship with our partner company, I would like to refrain from commenting further.
Operator: Thank you very much. Next Barclays Securities, Mr. Seki, please.
Atsushi Seki – Barclays Securities Japan: You drugs in the United States are doing progress, Vesicare and Tarceva. You have the reversal of the provisions. What is the amount? Could you share with us the scale?
Yasumasa Masuda: Sorry, we cannot announce the amount and also any guidance. Just in total, ¥13 billion asset value, sorry we cannot discuss.
Atsushi Seki – Barclays Securities Japan: XTANDI in Europe seems to be doing well. Is it progressing more that your plan?
Yasumasa Masuda: Yes, it is doing well, a lot. Compared to initial forecast, it is exceeding that level.
Atsushi Seki – Barclays Securities Japan: For example, in which countries is it doing well?
Yasumasa Masuda: In most of the countries, I can say.
Atsushi Seki – Barclays Securities Japan: Are you limiting the situation in Europe?
Yasumasa Masuda: Yes, Germany, France and the UK, and Nordic countries. In these countries, the product is performing well.
Atsushi Seki – Barclays Securities Japan: And also, the cash flow statement, the acquisition of intangible assets, ¥15 billion. You didn’t have a lot of licensing gain in the quarter between April and June, anything you can talk about the acquisition of intangible assets?
Yasumasa Masuda: In the past, we license the infant products, the developmental milestone payments for the FibroGen stopped [ph] for skin.
Atsushi Seki – Barclays Securities Japan: Yesterday, AstraZeneca had a telephone conference; they had the so called Olympus Allocate [ph] study. FibroGen and AstraZeneca and your company are going to discuss together to conduct the studies. Olympus Allocate [ph] study, the European sites also included. For these two studies, are you going to pay for the clinical study expenses?
Yasushi Miyazawa: AstraZeneca is involved in the United States together with FibroGen, a development is ongoing and the three companies are discussing to promote development for sure. Regarding the payment, I cannot answer that question on the spot so I would like to get back to you. Recently, many studies are starting because of the entry of AstraZeneca or they already planned from before. As you know, this is an able product and there were safety issues and in the development of a compound for Anemia, there are various and challenges in this field. In that respect, in Japan, U.S. and Europe, we are discussing with regulatory authorities to develop our development plan and so as a result of these discussions, we are taking action as we are right now.
Operator: Thank you. SMBC Nikko Securities, Yasuhiro Nakazawa,
Yasuhiro Nakazawa – SMBC Nikko Securities: 600, it was about some of the provisions -- the level of the provisions so some of the products in the United States, can you explain in more detail about this because I have not known this before?
Yasumasa Masuda: Well, in terms of the details, I'm going to refrain from explaining, this is a standard but what I can say at this point is as you know, in the United States, there are some public insurance and private insurance and between those parties, there is some rebate that we have to decide upon. So actually, in terms of the of the something that is decided afterwards, and in some cases,, we make provisions based on some provisional numbers and so after the figures are set, in this case, in the items, so basically we will be able to get again, to this adjustment. So these items will be Prograf, Vesicare, and Tarceva. So these three items.
Yasuhiro Nakazawa – SMBC Nikko Securities: So putting aside what the specific for the year is, so this is -- if you excluded irregular factors, so the Prograf, even excluding that, Prograf, seems to be doing better than your expectations? Is that the right way to look at it?
Yasumasa Masuda: If you exclude these irregular factors, basically it is in line with the expectation, maybe a bit over expectations, a bit over -- above, yes.
Yasuhiro Nakazawa – SMBC Nikko Securities: How about Vesicare and Tarceva?
Yasumasa Masuda: For Vesicare and Tarceva, the same. Basically it is in line with expectations, maybe a bit over expectations.
Yasuhiro Nakazawa – SMBC Nikko Securities: So this is about the sale situation of an item so Betanis in Japan, it seems a bit weak and so is it a backlash against the tax issues or if we exclude that, is it on track?
Yasumasa Masuda: Yes, as you have pointed out for Betanis, so this is an item that is -- has a premium for a new drug development so it is a type of a product that we attempt to get a provisional demand. So if you exclude that, yes, it is in line with expectations.
Yasuhiro Nakazawa – SMBC Nikko Securities: Again, I would like to go into detail, in terms of the early retirement incentives, you have that in Japan by the end of June, I think you booked -- in terms of premium, the benefit you have booked that at the end of June, so you can say that this program is ongoing? So currently, how many people has applied for this program and in addition, how many people will be added to that program? Can you disclose that number?
Yasumasa Masuda: Well, currently this program is still continuing and as you know, so this is a delicate issue. So currently, in terms of the number of people, I will not mention that.
Yasuhiro Nakazawa – SMBC Nikko Securities: So I think in total, you were expecting 300 people to enroll in this program? I think you mentioned that?
Yasumasa Masuda: Yes, yes. That is true. So in terms of how many we have right now, currently, I would like to refrain from disclosing that number. Please forgive us.
Operator: Thank you. Next, Morgan Stanley MUFG Securities, Shinichiro Muraoka. Mr. Muraoka, please.
Shinichiro Muraoka – Morgan Stanley MUFG Securities: First, Core BL [ph] tax rate. My calculation hopefully, would not be wrong, but if the statement which looks a little bit behind anything happened? Looks higher compared to the previous year. On a full year basis, 26%, I think that is tax rate assumption. But in the first quarter core, if I calculate it, it is around 30% based on my calculations. Any particular reason why?
Yasumasa Masuda: On a full year basis, the forecast value for the tax rate, according to guidance is 26% higher according to the guidance. And as for the first quarter, tax rate in Japan, it is rather weak. In the United States, it is rather high. Globally, the United States has the highest tax rate amongst the industrialized countries and in Japan, I cannot talk about the details but the tax exemption for the reduction for R&D activities, taxable profit which leads to the upper limit of the tax rate. As a result, Japan also imposes a high tax rate but how can I explain. Because of the reduced rate, it does not lead to lower tax rate. The rate of the United States is higher overall and is leading to higher tax rate overall that is one factor. In the first quarter, this tendency is strong but on a full year basis, it is going to be diluted according to our forecast and also, some special factors. As for the unrealized profit, in the depreciation of those, there is the tax effect within the group. Depending on the fluctuation of the inventory, it could grow up or down on a temporary basis. So this can be a temporary factor. So these various factors are occurring in the first quarter and on a full year basis, they are going to be diluted. As a result, the tax rate is going to be closer to our sanction according to the current forecast.
Shinichiro Muraoka – Morgan Stanley MUFG Securities: And also by region, in Europe, according to the figures in the data book, the other sales in Europe whose figures are not disclosed, €5 billion or €5 million, I don’t know what the amount but is it under royalty, it may be too high for that. So any particular factor here?
Yasumasa Masuda: The various products (indiscernible) and many other products. And sales of those products increased and also there was a booking of some provisional sales. Now, please allow us to refrain from talking about the details. The annual sales budget for Europe would not be changed. They are already factored in to our budget so this is in line with our assumption. And so the ¥2.5 billion, Tosoh [ph] announced ¥2.4 billion yesterday, and so compared to that, it may not be as much as expected, were there any returns in June, for example?
Yasumasa Masuda: If you look at the level, and this is in line with the forecast, it is progressing well, as we expected. But within assumptions, initial shipment may include large shipments and them the inventory level would be lower gradually. And the product is following the trend. At the moment, it is close to a normal level in our view.
Operator: Thank you. (Indiscernible).
Unidentified Analyst: Well this is a confirmation from my side. We are expanding in the U.S. and Europe on the -- I guess, the full year projection, do you think that you have some upside on this? So currently, how do you feel about this?
Yasumasa Masuda: Yes, you’re missing this in Europe, as well as in the United States, compared to our expectations, it seems to be doing better than our expectations. And based on this, the post-chemo, so there is a first line and second line. And so for the first line treatment, we have been able to get a bigger share than we have expected. And in Europe and in the U.S., they are slightly over our assumptions. So in that sense, for the full year, there is a possibility that they will be overshooting our expectations. Thank you.
Operator: Thank you. Credit Suisse Securities, Mr. Sakai. Mr. Sakai please.
Fumiyoshi Sakai – Credit Suisse Securities: I have two questions. Regarding the certain product exchanges. First is the vaccine, 7374. You are filing at this time and so before the season, can we expect approval before the start of the season? Are you discussing with BMDA, the regulatory authorities in PMDA, the regulatory authorities in Japan? And there was the supply issue concerning vaccines before and so in this case, you can produce very efficiently, you are not using X, so safety should be high. So I think there is a high potential for this compound or vaccine. It wasn't explained a lot during the R&D meeting so including that potential, could you elaborate on this vaccine? UN Pharma [ph] has this, but do you have the sales and marketing rights overseas? That is my first question.
Yasushi Miyazawa: As you know, 7374 was filed in May. Usually, it takes a year for the review and so we are expecting such approval timing that is the extent we can answer as of now.
Yasumasa Masuda: With regard to potential, as for the potential of this vaccine, we cannot give you a quantitative guidance but as for qualitative guidance, quickly, safely and large quantities, safely is going to be a priority compared to the existing vaccine so we think there is going to be a high potential.
Fumiyoshi Sakai – Credit Suisse Securities: And do you have the rights only in Japan?
Yasumasa Masuda: Yes, we only have the domestic rights.
Fumiyoshi Sakai – Credit Suisse Securities: I see. And also, Ramosetron, Irribow. I don’t think you are disclosing the sales amount but you can get the indication of IBS in women. And it is going to expand so what was your budget for the current term and you filed, so approval could be next year. So including those, could you give me some numbers.
Yasumasa Masuda: Just a moment please.
Fumiyoshi Sakai – Credit Suisse Securities: If it takes time, you can answer to me later.
Yasumasa Masuda: Just a moment. It's about ¥2 billion worth. It's not -- the first quarter results, the forecast for the current fiscal year so this doesn’t include sales for female patients, only for male patients.
Fumiyoshi Sakai – Credit Suisse Securities: What about the actual results in the first quarter?
Yasumasa Masuda: About ¥0.5 billion.
Operator: There are no more questions, we would like to end the Q&A session. Mr. Karamodo [ph], I will give the call back to you.